Operator: Welcome to ManpowerGroup First Quarter Earnings Release Results Conference Call. At this time, all participants are in a listen-only mode until the Q&A session of today’s conference. [Operator Instructions] This call will be recorded. If you have any objections, please disconnect at this time. And now I’ll turn the meeting over to ManpowerGroup’s Chairman and CEO, Jonas Prising. Sir, you may begin.
Jonas Prising: Good morning. Welcome to the first quarter conference call for 2017. With me today is our Chief Financial Officer, Jack McGinnis. I will start our call by going through some of the highlights of the first quarter, then ask Jack to go through the operating results of the segments for the quarter as well as our balance sheet and cash flow. Finally, Jack will give some comments regarding our outlook for the second quarter of 2017, and then I’ll follow with some final thoughts before our Q&A session. But before we go any further into our call, Jack will now read the Safe Harbor language.
Jack McGinnis: Good morning, everyone. This conference call includes forward-looking statements, which are subject to known and unknown risks and uncertainties. These statements are based on management’s current expectations or beliefs. Actual results might differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements can be found in the company’s Annual Report on Form 10-K and in other Securities and Exchange Commission filings of the company, which information is incorporated herein by reference. Any forward-looking statement in today’s call speaks only as of the date of which it is made, and we assume no obligation to update or revise any forward-looking statements. During our call today, we will reference certain non-GAAP financial measures, which we believe provide useful information for investors. We include a reconciliation of those measures, where appropriate, to GAAP on the Investor Relations section of our website at manpowergroup.com.
Jonas Prising: Thanks, Jack. We are very pleased with our strong performance in the first quarter. Revenue came in at $4.8 billion, an increase of 7% in constant currency, which is at the high-end of our forecasted range. On a same-day basis, our underlying organic constant currency growth rate was 4%, staying in line with the acceleration that we saw in the fourth quarter of last year. Operating profit in the quarter was $127 million, down 1% in constant currency. During the quarter, we had restructuring charges that Jack will discuss in more detail later. Excluding these charges, operating profit was $151 million, strong increase of 19% in constant currency. The operating profit margin came in at 2.7%, a decrease of 20 basis points from the prior year, but a 30 basis points expansion, excluding the restructuring charges. This performance included some gross margin contraction combined with SG&A productivity improvement, partially driven by stronger SG&A leverage on the higher the expected revenue growth. Earnings per share for the quarter was a $1.09, which included $0.20 of discrete tax benefits. If you exclude the restructuring charges and the tax benefits, earnings per share increased of 22% over the prior year, or 29% increase in constant currency. Our strong performance in the first quarter is very encouraging on a number of fronts. Economic and labor market outlook in many parts of the world has improved slightly, also finally in Europe, where we have the majority of our operations. Employer hiring intent is also showing small slight improvement globally, as measured by our second quarter ManpowerGroup employment outlook survey. All of this was still in the context of a slow growth environment in many parts of the world, with some political uncertainty added to the mix as well. But it indicates an overall slight market improvement from what we saw in the fourth quarter. Another continued positive aspect is that, many companies are realizing the importance of building an agile and flexible organization, as they adjust to rapidly involving business environment. Many of their business models need to evolve to take advantage of the digital disruption and adapt to a world that is more globally interconnected, increasingly competitive, and sometimes volatile and hard to predict. To execute their business plans, they need access to skill talent wherever it is available and new ways of executing their workforce strategies. We believe, we are very well placed to help them do the store market leading global footprint and extensive portfolio of services and solutions. The need for flexibility and agility provided by Manpower offering resulted in broad-based and solid growth in the first quarter. But there’s a need for high-level skills and experience, in particular, for IT skills. We saw strong growth also in this quarter in our solutions business and were once again named as a leader in our RPO offering by independent analysts for the seventh-year in a row. And finally, our permanent recruitment capability across all of our brands are increasingly being recognized by all client segments, as well as our candidates. Having provided hundreds of thousands of individuals for permanent jobs through last year, it represents another area in which we are truly a global leader. And finally, we continue to drive improvements in our delivery models by leveraging technology and see opportunities to further improve candidate attraction, client satisfaction, and productivity. We have been continually strengthening our digital capabilities in many areas of the past years, and this will continue to be an area of focus that will drive additional innovation, enhancement, and efficiencies for us going forward as well. And with that, I would like to turn the call over to Jack to provide additional financial information and to review of our segment results.
Jack McGinnis: Thanks, Jonas. As Jonas mentioned, we had a strong first quarter performance with operating profit growth of 19%, excluding restructuring charges on 7% constant currency revenue growth. Excluding restructuring charges, this performance represented strong operating profit margin expansion of 30 basis points over both the prior year and the midpoint of our guidance. Revenue growth met the top end of our constant currency guidance range. Although, our gross profit margin declined 30 basis points compared to the prior year, our SG&A costs improved as a percentage of revenue, driving the increased operating profit margin year-over-year before restructuring charges. Breaking our revenue growth down into a bit more detail, currency negatively impacted revenues by 3% and acquisitions contributed about 50 basis points to our growth rate in the quarter. Therefore, while revenues were up 4% on a reported basis, our organic constant currency revenue growth in the quarter was 6%, which after adjusting for billing days represents a 4% growth rate, reflecting the continuation of the fourth quarter billing days adjusted growth rate. I mentioned, our revenue growth met the top-end of our guidance range, this was largely driven by revenue growth in Southern Europe. On a reported basis, earnings per share of a $1.09 was $0.01 below the midpoint of our guidance range. Restructuring charges had a $0.30 negative impact on earnings per share, and excluding these charges, earnings per share was a $1.39. The drivers of this result include a $0.11 attributable to better operational performance than expected and $0.20 from lower tax rate – a lower tax rate than expected, partially offset by $0.02 attributable to other expenses, primarily comprised of a loss on an investment. The operational performance was driven by higher revenue growth and improved expense leverage. The lower tax rate resulted primarily from two discrete items, including a benefit of $0.06, resulting from new accounting for taxes on equity compensation and a benefit of $0.13 from adjustment following the settlement of tax – of a tax authority audit. Looking at our gross margin – gross profit margin in detail, our gross margin came in at 16.6%, a 30 basis point decrease from the prior year. Organically, the staffing interim gross margin had a 20 basis point unfavorable impact on overall gross margin, which was primarily driven by business mix, particularly in France, Italy, and the UK. I will cover this later as part of the segment review. Right Management contributed less to gross profit this year and this mix change reduced margin by 10 basis points. Although our solutions business had good overall growth this quarter. Our European Proservia, IT infrastructure, and end user support business experienced reduced GP margin, primarily driven from the business in France, and this contributed to an additional 10 basis points of reduced consolidated GP margin. I will discuss this further in the segment results. Currency impacts on our overall business mix had a favorable impact of 10 basis points. Next, let’s review our gross profit by business line. During the quarter, the Manpower brand comprised 61% of gross profit. Our Experis Professional business comprised 21%; ManpowerGroup Solutions comprised 13%; and Right Management, 5%. Our strongest growth was once again achieved by our higher value solutions offerings within ManpowerGroup Solutions, representing another quarter of strong constant currency double-digit growth. During the quarter, our Manpower brand reported a constant currency gross profit increase of 4%. This represents an improvement from the 2% increase experienced in the fourth quarter. Within our Manpower brand, approximately 60% of the gross profit is derived from light industrial skills and 40% is derived from office and clerical skills. Gross profit growth from light industrial skills declined 1% during the quarter, representing a slight deceleration from the fourth quarter that was more than offset by increases in office and clerical skills. Gross profit in our Experis brand increased 6% in constant currency, an improvement from the flat growth experienced in the fourth quarter. ManpowerGroup Solutions includes our global market leading RPO and MSP offerings, as well as talent-based outsourcing solutions, including Proservia, our IT infrastructure and end user support business. Gross profit growth in the quarter was up 12% in constant currency, with strong growth in all of our solutions offerings. Right Management experienced a decline in gross profit of 12% in constant currency during the quarter. This level of decline is an improvement from the fourth quarter and I also comment on this in my segment review. Our reported SG&A expense in the quarter was $661 million, including the $24 million in restructuring costs. Excluding these costs, SG&A expense was $637 million, a decrease of $5 million from the prior year. Currency changes resulted in a decrease of $16 million, which is partially offset by $5 million we spent from acquisitions and $6 million from operations. The operational impact of $6 million was favorably impacted by the timing of certain project spends and have otherwise been slightly higher had these projects occurred during the quarter. We expect to incur these additional costs in the second quarter. Similarly, corporate expenses are slightly lower in the quarter due to the timing of spend between the first and second quarters. On an organic basis in constant currency, excluding the restructuring costs, SG&A expenses were up 1% compared to the prior year. Excluding the restructuring costs, SG&A expenses as a percentage of revenue in the quarter improved 60 basis points to 13.4%, driven by improved operational leverage on higher revenue growth and a continued focus on operational efficiency across our businesses. We expect to recover the restructuring charges of $24 million through cost savings over the next 12 months. I will discuss the operating performance of the segments next, and as part of that, will cover the restructuring charges in more detail. The Americas segment comprised 22% of consolidated revenue. Revenue in the quarter was $1 billion, a decrease of 1% in constant currency. Profitability increased with OUP of $39 million, up 14% in constant currency above the prior year level, driven by an improvement in the U.S. OUP margin improved 50 basis points year-over-year. Growth in our higher margin solutions offerings partially offset the softness in staffing services during the quarter. The OUP increase was driven by continued strong cost management with SG&A expenses decreasing year-over-year. The U.S. is the largest country in Americas segment, comprising 64% of segment revenues. Revenue in the U.S. was $662 million, down 6% compared to the prior year, which represents an improvement from the 9% decline in the fourth quarter, driven by. an improvement in both the Manpower and Experis businesses. As we have mentioned previously, the prolonged weakness in the manufacturing side of the U.S. economy has impacted the demand for our services over the past several quarters, while the rate of decline in our professional services has been elevated in recent quarters. During the quarter, OUP for our U.S. business increased 16% to $26 million. OUP margin was 4.0%, up 80 basis points from the prior year, primarily due to strong SG&A cost management. It’s important to note that despite challenging revenue trends, our gross profit margin improved and the U.S. business continues to focus on strong pricing discipline and overall operational efficiency, as evidenced by the strong OUP dollar and margin expansion in the quarter. Within the U.S., the Manpower brand comprised 39% of gross profit during the quarter. Revenue for the Manpower brand in the U.S. was down 5% in the quarter, an improvement from the 8% decline in the fourth quarter. The industrial and office and clerical business have declined for several quarters in the U.S. However, the first quarter represented an improved rate of decline against the year-ago period. The Experis brand in the U.S. comprised 39% of gross profit in the quarter. Within Experis in the U.S., IT skills comprised approximately 70% of revenues. During the quarter, our Experis revenues declined 9% from the prior year, compared to the 14% decline experienced in the fourth quarter. Experis revenues from IT skills were down 8% from the prior year, which represented an improvement from the 14% decline noted in the fourth quarter. ManpowerGroup Solutions in the U.S. contributed 22% of gross profit and experienced flat revenue growth from the quarter related to loss of one client. Excluding this client change, solutions would have had double-digit growth. We continue to see strong demand by our clients for our higher value RPO and MSP Solutions. Our Mexico operation had revenue growth in the quarter of 9% in constant currency. The business in Mexico performed well in the quarter and we expect good growth also into the second quarter. Revenue in Argentina was up 19% in constant currency, which continues to reflect the impact of inflation. We continue to focus on margin and payment terms improvement, given the highly inflationary environment. Revenue growth of the other countries within Americas was up 6% in constant currency. This included strong growth in Canada, with constant currency revenue growth of 9%. We also saw strong growth in Peru, Central America, and Colombia. Southern Europe revenue comprised 38% of consolidated revenue in the quarter. Revenue in Southern Europe came in at $1.8 billion, an increase of 10% in constant currency. On an average billing days basis, this represented a revenue growth rate of 9%, up from the 7% average billing days basis growth rate in the fourth quarter. OUP was $81 million, an increase of 17% from the prior year in constant currency and OUP margin was 4.5%, up 20 basis points in the prior year, as efficiency improvements in operating leverage offset gross profit margin declines. Permanent recruitment growth was very strong at 12% in constant currency, an increase from the 9% growth in the fourth quarter. France revenue comprised 63% of the Southern Europe segment in the quarter and was up 9% over the prior year in constant currency. On an average daily billing days basis, this represented a 1% increase from the 8% growth rate in the fourth quarter and represents three consecutive quarters of increased growth. France gross margin has declined in both staffing and solutions Proservia business. The reduction in staffing margins is driven by business mix, as we have seen strong growth in large accounts, which is partially offset by the CIT increase effective with payroll beginning January 1. Proservia represents our IT infrastructure and end user support business, which has experienced reduced gross profit margins. Permanent recruitment growth was 2% in constant currency during the quarter, which was a slight deceleration from the 3% growth rate in the fourth quarter. OUP was $15 million, an increase of 10% in constant currency and OUP margin was flat year-over-year at 4.4%. The OUP margin trend reflects an improvement from the decrease of 20 basis points in the fourth quarter and reflects strong SG&A cost management during the quarter, with increased operating leverage on improved revenue growth, which offset the gross margin declines. Revenue in Italy increased 16% in constant currency to $294 million and represented a growth rate of 12% in constant currency on an average daily basis. This represents very strong revenue acceleration from the 3% average daily basis constant currency growth rate in the fourth quarter. Business mix change is associated with the growth has resulted in reduced staffing margins, which have been partially offset by very strong permanent recruitment growth. Specifically, permanent recruitment fees increased 23% on a constant currency basis over the prior year. OUP growth was up 17% in constant currency to $18 million. During the quarter, the OUP margin expanded by 10 basis points to 6.2%, as strong SG&A cost management and operating leverage offset gross margin declines. We’re very pleased with the strong performance in our Italy business and based on the March billing days adjusted exit growth rate of 16% constant currency revenue growth, we expect it to continue into the second quarter. Revenue growth in Spain was up 6% over the prior year in constant currency and reflects one-month of operations of the recently completed IT professional services acquisition, which expands our Experis capabilities in that market. On an organic constant currency basis, the revenue growth rate was 4%. Adjusting for average billing days, the constant currency growth rate was 1% in the quarter, reflects a deceleration from the fourth quarter growth rate of 5%. The decline is largely the result of timing of certain client business during the quarter and we expect increased average daily growth for Spain in the second quarter. SG&A cost management during the quarter drove significant OUP dollar and margin expansion. Our Northern Europe segment comprised 26% of consolidated revenue in the quarter. Revenue was up 9% in constant currency to $1.2 billion. On a billing days adjusted organic constant currency basis, Northern Europe had a 3% constant currency growth rate, which represented a deceleration from the 6% organic constant currency growth in the fourth quarter. The slower rate of revenue growth was primarily driven by declines in the UK, which was partially offset by stronger growth in Germany. OUP came in at a $11 million in the quarter, or $34 million before restructuring cost. OUP was up a 11% in constant currency and OUP margin was flat before restructuring charges. The restructuring charges in the quarter primarily relate to severance cost incurred in connection with the further integration of the 7S acquisition in Germany. Branch and back office optimization in the UK and management and back office optimization, along with the integration of the 2016 IT professional services acquisition in the Netherlands. Our largest market in Northern Europe segment is the UK, which represented 31% of segment revenue in the quarter. UK revenues were down 4% in constant currency and down 7% on a billing days adjusted basis, representing a further decline from the 2% decline in the fourth quarter. Conversely, permanent recruitment fees increased in the quarter at a 2% constant currency growth rate. As we mentioned in previous quarters, in the UK, the market for our Manpower staffing business weakened in 2016, especially across some of our larger accounts. And our business following the improvement in the fourth quarter experienced a slight further decline in the first quarter. The Experis business following a decline in the fourth quarter experienced the further decline in the first quarter. And both the Manpower and Experis business in the UK were experiencing some reduced demand within our largest accounts, as our clients are focused on optimizing operational cost expenditures. We expect this level of average daily revenue decline to continue into the second quarter. Revenue growth in Germany was up 17% on a constant currency basis in the first quarter, or up a 11% on an average billing days basis, which represents an increase from the 9% growth in the fourth quarter. The increased growth in Germany is being driven by revenues from our Proservia business line, following significant new business in the third quarter of 2016. In the Nordics, following the return to revenue growth in the fourth quarter, we continue to grow revenues in the first quarter albeit at a lower level on the billing days adjusted basis. The constant currency revenue growth rate of 12% in the quarter represented 4% growth on an average daily basis. Organically, the constant currency average daily revenue growth was 2%, which was the deceleration from the 7% growth rate in the fourth quarter. Norway and Sweden are currently performing well and we expect to see increased average daily revenue growth in the second quarter. Revenue in both the Netherlands and Belgium continue to be strong at 20% and 10%, respectively, and organic constant currency adjusted for billing days. In the Netherlands, our reported growth rate reflects the 2016 IT professional services acquisition. Other markets in Northern Europe had a revenue increase of 6% in constant currency, as growth in Poland and Ireland more than offset declines in Russia and a few other markets. The Asia Pacific Middle East segment comprised 13% of total company revenue. In the quarter, revenue was up 8% in constant currency to $632 million, or 7% after adjusting for billing days, representing a slight increase from the 6% average daily growth in the fourth quarter. Permanent recruitment growth was strong at a 11% in constant currency. The restructuring charges in the quarter related to Australia and include severance and to a lesser degree real estate cost associated with office optimizations. OUP was $20 million in the quarter, or $21 million before restructuring costs. OUP increased 10% in constant currency and OUP margin increased 10 basis points on that same basis, driven by strong SG&A cost management. Revenue growth in Japan was up 3% on a constant currency basis, representing a slight decrease from the growth of 4% during the fourth quarter. Permanent recruitment growth was very strong at 15% in constant currency. OUP was flat on a constant currency basis. Revenues in Australia and New Zealand were up 4% in constant currency. But adjusting for billing days, this represented a 2% average daily revenue growth rate and a continuation of the growth rate experienced in the fourth quarter. Revenue in other markets in Asia Pacific Middle East continued to be strong, up 15% in constant currency. This was the result of the strong double-digit growth in a number of markets, including Korea, India, Thailand, and Singapore. Our Right Management business continue to slow in the first quarter, as expected, based on the non-recurrence of certain outplacement activity. During the quarter, revenues were down a 11% in constant currency to $56 million, following a 14% decline in the fourth quarter. OUP decreased 6% on a constant currency basis to $9 million, as SG&A reductions help to offset the impact of revenue reductions. OUP margin increased 90 basis points to 15.8%, representing strong cost management and declining revenue environment. Now, I’ll turn to cash flow on balance sheet. Free cash flow, defined as cash from operations less capital expenditures was very strong for the quarter at a $180 million. This includes the sale of the 2016 France CICE tax credit in March for a $144 million. Excluding CICE sales, free cash flow remained strong for the quarter at $36 million compared to $5 million in the prior year. At quarter-end, days sales outstanding was slightly better than the prior year level with an improvement we have today. Capital expenditures represented a $11 million during the quarter, which was down $6 million from the prior year, primarily due to our investment recruiting centers in the year-ago period. Cash used for acquisitions in the quarter represented $25 million. During the quarter, we purchased 576,000 shares of stock for $57 million. As of March 31, we have 4.2 million shares remaining for repurchase under the 6 million share program approved in July of 2016. Our balance sheet was very strong at quarter-end, with cash of $724 million and total debt of $834 million, bringing our net debt to $109 million. Our debt ratio is a very comfortable at quarter-end, with total debt to trailing 12 months EBITDA of 1.0 and total debt to total capitalization of 25%. Our debt and credit facilities have not changed in the quarter. At quarter-end, we had a €350 million note outstanding with an effective interest rate of 4.5% maturing in June of 2018, and a €400 million note with an effective interest rate of 1.9% maturing in September of 2022. In addition, we have a revolving credit agreement for 600 million, which remain unused. Next, I’ll review our outlook for the second quarter of 2017. Excluding restructuring charges, we are forecasting earnings per share to be in the range of $1.67 to $1.75, which includes a negative impact from foreign currency of $0.08 per share. Our constant currency revenue guidance range is for growth between 3% and 5%. The impact of acquisitions represent 70 basis points of the growth rate in the second quarter. If there is one less day in the second quarter year-over-year, this represents a billing days adjusted organic constant currency growth rate of 5%, which is an increase from the underlying growth rate of 4% experienced in the first quarter. From the segment standpoint, we expect constant currency revenue growth in the Americas to be flat with Southern Europe growing in the high single-digit range, Northern Europe growing in the flat to low single-digit range benefiting about 2% from acquisitions, and Asia Pacific Middle East growing in the mid to high single-digit range. We expect the revenue decline of Right Management in the low double digits. On a regional basis, difference in billing days will have an unfavorable impact on revenue growth of about 2% in the Americas, 1% in Southern Europe, 4% in Northern Europe, and 1% in APME. Our operating profit margin should be up slightly, compared to the prior year, reflecting improved revenue growth in operating leverage, which will offset lower gross margin. As I mentioned earlier, we experienced some lower SG&A in corporate spend in the first quarter, attributed to timing between the first and second quarter, which we expect to incur in the second quarter. We also expect to invest in additional resources during the second quarter and countries experiencing high revenue growth. We expect our income tax rate to approximately 37%. As usual, our guidance does not incorporate additional share repurchases and we estimate our weighted average shares to be 68.2 million, reflecting share repurchases through March 31. Lastly, in addition to the restructuring charges we recorded in the first quarter, we will have additional restructuring charges in the second quarter of approximately $11 million. These primarily relate to the U.S. and include back office optimization activities, which include leveraging technology enhancements and to a lesser degree Right Management’s delivery model optimization activities. And in the Netherlands, additional integration activities related to their 2016 acquisition. We’re not currently planning any additional restructuring charges during the balance of 2016. With that, I’d like to turn it back to Jonas.
Jonas Prising: Thanks, Jack. Well, Jack explained the restructuring charges that we recorded in the first quarter and those we’re planning to take in the second quarter. These actions reflect integration activity from acquisitions as we consolidate technology platforms, as well as branch optimization and back-office processes and automation initiatives. And these efforts, along with our business as usual focus on productivity improvements will continue to improve our ability to focus on profitable growth and overall efficiency. We are in an environment where we believe our offerings can be even more relevant in the future. On the one hand we can help companies engage productive and skilled talent where they need them in whatever form the workforce solutions they require on a local and a global basis. And on the other hand, we’re an extremely valuable entry point for many individuals looking for meaningful and sustainable climate at different skill levels or different time horizons, helping bridge the gap between supply and demand and helping individuals acquire additional skills and work experience. And in this context, our extensive portfolio of services and solutions for our clients and candidates will be beneficial for our future business progress. How we leverage digital capabilities to deliver these will be increasingly important, both in terms of our clients and candidate relationships and scalability for that delivery model. Our value proposition derives its competitive strength and differentiation in our last mile delivery capabilities to our great team of talented and passionate colleagues all over the world. And our investments in digital capabilities will help them do their best work, building relationships with clients and candidates, while reducing the amount of transactional tasks that they are doing today. So, in closing, we’re very pleased with the results our team delivered in the first quarter and we’re also very proud to have once again been recognized for how we conduct our business. We have once again been named as a Fortune Most Admired Company and also one of Ethisphere’s Most Ethical Companies. And this is a unique achievement in our industry. ManpowerGroup is one of only 33 companies in the Fortune 500 to have earned both distinctions, an important accomplishment, strengthening our world class brands as a trusted and value-driven partner to both client companies and to individuals seeking sustainable and meaningful employment. And with that, I would now like to open the call for Q&A. Operator?
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] Our first question is coming from the line of Mr. Andrew Steinerman from JPMorgan. Sir, your line now is open.
Andrew Steinerman: Hi Jonas, Jack. My question is about your continued evolution of kind of a tack in human touch business model here, which of course I’ve been tracking and recognize this as yours in the making, but there is a bigger push now, the restricting charge speaks to that. My question is, why now? Is there any concern about where your revenue growth could eventually get to, so you need to take course out of the systems? Or is this more about kind of a combination of prospective revenue growth and efficiencies together?
Jonas Prising: Thanks and good morning, Andrew. Yes, I think as you noted, this is something that we’ve been working on for a number of years. So this is clearly our intent to leverage digital capabilities and combining our great last mile delivery capabilities with the evolution of technology. And I would say that whilst the first quarter changes that we’re making to some degree are related to that. Certainly the second quarter changes we’re making are very much related and I think it’s much more of an anticipation of our ability to continue to derive improvements in our operating and delivery models and enhance our client and candidate relationships capabilities through these digital capabilities are doing this in anticipation of being able to drive even greater benefit in the future.
Jack McGinnis: And I would just add to that Andrew that that’s certainly a mix of different items, so absolutely what Jonas was talking about in terms of our delivery models is a part of it. But if you look at the first quarter and what I broke out in terms of the restructuring charges in the first quarter, a lot of what’s happening in the first quarter is integration activities related to acquisitions. Particularly in Germany, a lot of the restructuring is involving the integration of the 7S acquisition. In the Netherlands, we have the – a part of their charges are related to the integration of their IT services company, professional services company they acquired in 2016. And then in the U.K., we have a branch and office and back office optimization as well. So, in the second quarter, to my earlier comments, the restructuring in the U.S. is driven by back-office related optimization which covers a lot of what Jonas was speaking to. We have a bit more of the acquisition integration in the Netherlands that’s a much smaller part of the second quarter number. And Right Management is part of the second quarter as well. And in Right Management it’s really about the advancement of the digital capabilities of that business which we’ve been talking about over time. And as a result of that, less need for a lot of the other infrastructure costs, so there is office optimization happening as part of Right Management in the second quarter.
Andrew Steinerman: Sounds good. Thank you.
Jonas Prising: Thanks, Andrew.
Operator: Thank you. Our next question is from Mr. Jeff Silber, BMO Capital Markets. Sir, your line now is open.
Jeff Silber: Thanks so much. We got to know election in France coming off, I know there is a round this weekend, I’m not asking you to endorse any candidate, but I’m just curious, are there any specific policies by any of the candidates that will either help or hurt your business going forward?
Jonas Prising: Yes, thanks, Jeff. As you clearly point out, the French election is looming and a number of candidates are in the running, hard to tell who is going to win and in some cases hard to tell which programs they are promoting as it relates to our business. I would say, from a mainstream candidate perspective which we would regard Fillon and Macron to be – we think it’s pretty clear that the current policies that are being pursued would only be strengthened at least based on their initial comments and more uncertain for the other candidates. But I would also say that the election round that’s coming now is followed probably by a second round, but most importantly, by assembly elections later on in the summer. And really the presidential election has to be combined then with an ability to get things done and the constellation of any government and the strength within the assembly will really determine his or her ability to actually drive a certain program through. So, I think it’s too early to call on what kind of policies would be driven that are good, bad or otherwise. From our perspective, the sooner there is certainty the better it is. We have a long history with being able to adapt to different political changes in various countries, so the sooner we have the certainty, the better it’s going to be for our business in France. But I would say despite the uncertainty as to the election outcome, the French market and our team in France has done a very good job for us again here in the first quarter, so that’s encouraging.
Jeff Silber: Okay, great. And if we could shift over to the U.K., you’ve sited for the past few quarters the weakness in your Manpower staffing business; it looks like now some of the weaknesses is even worsening in Experis. I know it’s tough to dig into this, but do you think Brexit is having any impact and should that get worse as we move towards that eventual exit? Thanks.
Jonas Prising: It’s hard to tell Jeff, because the client interactions that we have in the U.K., as you could see from a permanent placement business, we had – we saw some growth there, so that was positive. Manpower shifted down somewhat and as you noted the Experis business shifted down a little bit more and that in relation to our significant client relationships that we have with some bigger customers and bigger companies in that market and it’s hard to tell whether it’s their reaction to Brexit or them just managing ahead of or in sync with what they need to do for their specific business. But I think it’s fair to say that, as we continue to understand what the impact of Brexit is, we are starting to see some companies make decisions in anticipation of a different business environment for them in that market. And part of this that we’re seeing could be related to Brexit, but it’s really difficult to call at this point. But we’d note that, the UK market is getting a little bit soft during the numbers of areas. And I think, we’re starting to see our clients react to that and especially the bigger clients that we have.
Jeff Silber: Okay. Thanks so much for the color.
Operator: Thank you. And next is Mr. George Tong from Piper Jaffray. Sir, your line now is open.
George Tong: Hi, thanks. Good morning. I would like to start with gross margin. Can you discuss potential initiatives or benefits that that you expected to help offset the gross margin pressure you are seeing in Southern Europe in solutions business?
Jack McGinnis: So, George, I would say, we did highlight what we’re seeing in the solutions business. Let me be very specific about that. When we called out solutions on the GP margin bridge, we’re talking about the Proservia business, which is experiencing lower GP margin. Now, with that, Proservia is still a very good business for us and was profitable during the quarter. We’re calling out the fact that it’s running at a lower level in France, particularly. And I’d say, on an overall basis, Proservia is doing well, and we’ve talked about in Germany the good increase that we’ve had in the Proservia business beginning in the third quarter of last year. So what they’re currently experiencing our lower levels of gross profit margin actually with gross profit dollar expansion. And the business is currently working through that and various initiatives in place over time to improve that. But it’s going to take – it’s going to take a few quarters before we start to see the results of the increase gross profit margin. I think in the meantime, it’s going to be continuing to balance that with permanent recruitment fees, and the progress we’re making on overall growth in France, which to Jonas’s earlier points, we’re very strong in the quarter. So despite that pressure on the gross profit margin, the overall growth is driving operating leverage for us, and we expect that to – we expect that result to continue with the forecasted continued good growth from France in the second quarter.
George Tong: Got it, very helpful. And going back to Northern Europe, could you elaborate on what you’re hearing from customers regarding hiring intent on the temp side, particularly in the UK?
Jack McGinnis: Well, as we looked at the ManpowerGroup Outlook Hiring Survey for the second quarter, it was more muted in the UK. And I think it very much depends on where you are in the country and which clients you speak to, having been in London not too long ago, if you’re in the financial services sector in London, in particular, the outlook is not very good. But in other parts of the country, if not euphoric is that – it’s at least stable, or only slightly softer. So I think it very much depends on which industry that you’re in. And of course, all eyes are on the Brexit negotiation and what this means for access to talent and what it means for immigration, because there are some sectors in the UK, notably the construction industry, but also the healthcare industry, where access to immigration is vital for their ability to access people with those skills. So that that’s going to be a very important part of the Brexit negotiations to understand.
George Tong: Got it. Very helpful. Thank you.
Operator: Thank you. And our next question is from Mr. Mark Marcon, R W. Baird. Sir, your line now is open.
Mark Marcon: Good morning. You’re pointing to on an average billing day constant currency basis, 5% growth in the second quarter, which is an improvement from the 4% that you ended up seeing in the first quarter. So and obviously, we have the Easter shift. But I’m wondering can you talk a little bit more about Northern Europe just the bridge between the 9% constant currency growth that we saw during the first quarter relative to the guide for kind of the flat to up just in terms of the major puts and takes certainly understand UK. But wondering, we’re hearing signs that the continent is improving. So I just want to understand that a little bit better?
Jonas Prising: Okay. Mark, to our earlier comments, I think it’s really a combination of the UK continuing to perform in the second quarter at the level that we saw in the first quarter, generally speaking, so stable on that level of decline into the second quarter. And that’s really going to offset some of the growth we’re seeing elsewhere. So if you look at to cover some of the countries there. If you look at Germany, we are expecting Germany to be slightly up in the second quarter. So, low double-digit on an average daily revenue basis in the second quarter, which is good in terms of that improvements. We talked about Belgium in our prepared remarks, we see Belgium being relatively stable into the second quarter versus the rate we saw in the first quarter. And from the Netherlands, I’d say, as we’ve talked about, Netherlands had very, very strong growth in 2016, very high. So we see very, very good mid to higher single-digit average daily revenue growth for the Netherlands into the second quarter. And I mentioned that the Nordics coming off a very strong fourth quarter, came off a bit, still growth in the first quarter, but came off a bit. W expect that to pick up. So we see the Nordics improving, and I would expect kind of mid single digits average daily revenue basis for them. So, I’d say, those are the puts and takes, with the UK continuing to be in this mid single-digit decline for Northern Europe.
Mark Marcon: Okay. So it sounds like, I mean, when we adjust for billing days, we’re still growing. Since 70% of Northern Europe is still growing?
Jonas Prising: I’d say, it’s very, very slightly up, stable to very slightly up, adjusting for billing days, because the billing days are the big factor in the second quarter.
Mark Marcon: Sure. Okay, great. And then can you talk a little bit about the second derivative improvement that you ended up seeing with regards to the U.S.? Are we actually starting to see any signs of the positive soft data turning into a little bit of hard data? How were the monthly trends in the U.S.?
Jonas Prising: Well, I think we were pleased that we saw some improvement, but in our own operations. And I think, we still have have work to do on both Manpower and on the Experis side, as well as the solution side continued to do very well and Jack talked a little bit about that in his prepared remarks. In terms of the translation of the softer data and the optimism into harder data, I would say that, we haven’t seen that materialize really in any material degree in the client segments that we serve in the U.S. So it’s still something that, we’re optimistic would and could occur. But we haven’t really seen any evidence of that on the ground yet.
Jack McGinnis: Yes, Mark, I would add to that. I’d say in terms of U.S., what we said at the end of the fourth quarter was that, we expected a slight improvement into the first quarter, and that’s effectively what we saw. So that that 9% average daily decline we saw in the fourth quarter coming in at about 7% average daily revenue decline in the first quarter. And consistent with that, we continue to see slight improvement into the second quarter. So we see that continuing to improve into the second quarter. I think on a monthly basis during the quarter, I – there’s some puts and takes with some of the days happening there during the course of the quarter. But what I would say is, based on what we’re seeing in early April, we’re seeing basically that trend that that slight improvement from the rate we saw in the first quarter continuing into the second quarter.
Mark Marcon: Super. Thank you very much.
Operator: Thank you. Next will be Hamzah Mazari from Macquarie. Sir, your line now is open.
Hamzah Mazari: Good morning. Thank you. The first question is just on your sales cycle. Could you maybe talk about what you’re seeing in the sales cycle? Is it more elongated than normal, as you look across your geographies, particularly U.S. versus Europe, anything different you’re seeing?
Jonas Prising: In relation to the U.S., we’re maybe seeing some elongation or – but I would say between quarters and what we’re expecting to the second quarter, it’s really unchanged. And I go back to my earlier comments around the soft data not having translated into really any material change in that U.S. labor market at this point. So we still think that there’s certainly room for us to improve in the U.S. based on improving our operational performance. And we still think that there is room to grow in the U.S. market on the whole, because the demand is still there. But in terms of any changes, in terms of sales cycles, we haven’t really observed that.
Hamzah Mazari: Okay. And just maybe if you could comment on what you’re seeing on bill pay spreads and conversions in the quarter relative to your internal expectations at this time of the cycle? Thank you.
Jonas Prising: Yes. So I would say, in terms of bill, pay, yield and so forth that basically in line with our expectations. We haven’t seen any dramatic changes in terms of where we’re looking at that and the way we look at gross profit margin and the trends. I’d say, generally and we shared what we’re seeing on the staffing side. If you look at the staffing side from our gross profit margin, it’s been in that – running in that range of about 20 basis points down over the last few quarters. So that, I would say, that’s basically comps [ph] are running in line with our expectations the way we’re looking at that, and there hasn’t been dramatic changes. So now for the U.S. specifically, I would say that, it’s a tight labor market. So we are seeing some wage inflation. And we think that we are able to generate a little bit more pricing leverage, but it’s all within the context of smaller changes. So wage inflation, there’s no runaway wage inflation right now. So we can see maybe a little bit more ability to improve our pricing in the U.S., but it isn’t any major shift from what we’ve seen in past quarters.
Hamzah Mazari: Gotcha. Thank you.
Operator: Thank you. And our next question is from Mr. Gary Bisbee from RBC Capital Markets. Sir, your line now is open.
Gary Bisbee: Hi, good morning, guys. I guess you could – question on the U.S. segment. How much longer can you continue to grow profits the way you’ve been doing amidst what’s been persistent declines in revenues, and what’s really driving that? You talked about SG&A controls and doing a good job on efficiencies. This really mix shift to solutions, which just has like twice the margin, or – is it more that, or are there things you’ve been doing to pull costs out, and how much more can you do that if the declines persist? Thank you.
Jonas Prising: Well, it’s a combination of a number of things. Clearly, we’ve seen good opportunities for us and again a very strong quarter for our solutions business in the U.S. We have opportunities and permanent placement, but we’ve also been applying. And Jack referred to that in his prepared remarks, very strong pricing discipline. So we’ve been very, very careful in terms of acquiring businesses and segmenting our business that we’re working with clients that are appreciating the value that we can contribute, both in Manpower and Experis whilst our top line revenue declines are certainly not satisfactory. And it’s an area that we need to continue to improve our gross margin dollars, gross profit dollars, and actually seen less of a decline. And it’s part of our careful segmentation and our purposeful selection and all the client relationships that we want to engage when to make sure that we apply that pricing discipline. And of course, you’ve seen us do this not only in this quarter and in last year, but this is something that we’ve been very careful about in terms of selecting the businesses, where we believe we can add value in those client relationships and executing very well and combining that, of course, with enhanced digital capabilities and improved processes.
Jack McGinnis: And I would just add to that, Gary. To Jonas point, despite the revenue environment, the U.S. has been very focused on client segmentation. Experis specifically saw their gross profit margin increase in the first quarter, which is great, and shows the focus that they have on the client sets at the current moment. So that was good. So despite the the lower revenues, they are – there are various actions in terms of looking at the client segmentation and the pricing discipline that is driving that gross profit margin expansion for the U.S. overall in the first quarter.
Gary Bisbee: So would it – that’s helpful. Thank you. Would it be right then to say that, you’re actually sort of proactively walking away from, or staying away from low-margin business and part of this decline that’s been happening is, self-inflicted, because profit dollars is what you’re really focused on as opposed to revenue, or do you still – would you still frame it that you think you’re underperforming relative what you should do on revenue, but you’ve done a great job on profit?
Jonas Prising: I would say, both would be true. I think we are rebalancing and making sure that we are working with clients that where we are seem to be providing value and that’s reflected in our pricing strategy and in segments that are are strong for us today, as well as tomorrow. But at the same time, I think, we can always do better. And we’re very pleased with our progress in terms of gross profit dollars and certainly operating margin in the U.S. So over the last three to four years, we’ve seen a tremendous evolution. But we still think that we can do that and make sure that we stay with market, and that’s what we’re working on and that’s where we think we still have opportunities to improve.
Gary Bisbee: Great. Thanks. And then just wanted to clarify one thing. Did I hear right when you were discussing the Easter timing expectation that it – that you expected a 4% hit for the Northern Europe segment in the second quarter?
Jonas Prising: Based on the billing days, that’s correct. When we broke out in our guidance the impact on the regions.
Gary Bisbee: Yes, okay. The 4% was the billing day impact in Northern Europe. Okay. Thank you very much.
Operator: Thank you. Next is Manav Patnaik from Barclays. Sir, your line now is open.
Manav Patnaik: Thank you. Good morning, gentlemen. The first question I had, I just wanted to follow-up on your earlier discussion around the digital strategy. It sounds like most of your efforts right now revolve around more process automation. And I was just wondering, there seems to be a lot more chatter around just more talent recruitment tools, and measurement, and all sorts of things going online. So, it sounds like it’s still, but I was just curious how you guys think about when you might have to make those sort of steps into this digital world longer-term?
Jonas Prising: I would actually say that we’ve been working on that for a number of years. And you can look at it in this way, Manav. You can look at the number of branches that we have today compared to where we – what we had eight or nine years ago. And with an increased volume of the business, we have 40% less physical infrastructure today across the world. So we’ve been very active in deploying not only automation, or a technology to make sure that we improve processes, but we’ve also been very active in terms of working with digital tools and apps. So that we can engage with our clients and especially our candidates in different ways. As well as, of course, being able to leverage technology to improve our course, our centralized delivery capabilities in various regions. We have offshore centers today in a number of countries that serve as many parts of our geography. So it’s something that we have been using. Now having said that, we believe that there is opportunity here going forward as well and maybe even increased opportunities to continue to leverage that, because it’s an evolution, it goes very, very quickly. And the adoption depending on where you are in the world still provides us with some great opportunities going forward. So we’ve been continually working on this and we intend to do that at the pace, which we think is aligned with where the market is, because it’s important to stay and sync with where the market is as far as the adoption of some of this. So the candidate needs to be ready and the clients need to be ready, and we need to be ready, frankly. So it’s a continued evolution when we’re strengthening this. But we think it has some very good opportunities for our future progress, both on the top line side as well as on the efficiency side going forward.
Manav Patnaik: Okay, got it. That’s helpful. And then just another bigger picture question is, you talked about how your permanent staff and capabilities have really started to show some signs of growth and improve and so on and so forth. And it sounds like that acquisition you made several years ago, obviously, helped give you that foundation. So, I mean, should we think about another acquisition in that area coming somewhere down the road, or what should be the strategy we should expect from you guys in the permanent side of things?
Jonas Prising: I would say, generally speaking, we’re pleased to see that this quarter, again, is a record percentage of permanent as it relates to our overall GP of 15.6%. And it’s really across all of our brands. I’m not exactly sure what acquisition you’re referring to, because all of that growth has been organic in terms of our capabilities and building that across our different brands to be at Manpower Experis or ManpowerGroup Solutions and certainly our RPO activities. So we’ve built all of that organically and invested in recruitment consultants, placement consultants all over the world. So I think, the positive side is for us that our clients and our candidates are increasingly seeing us as a destination on an entry point into the world of work. And regardless of whether it is on a contingent basis, or on a permanent basis, and that, of course, gives us a great opportunity to continue to build on the success that we’ve had, and continue to leverage that and build it out as an offering in both developed markets as well as in emerging countries.
Manav Patnaik: Okay. Got it. And one last if I can just squeeze it in. On the French elections, it sounds like most of the candidates are talking about restructuring the CICE in some way or the other. I think in the past, you said, you feel like that would probably just resurface in the form of something else, is that still the view?
Jonas Prising: Yes, Manav, that would absolutely still be our view. I think, the overall understanding from almost all candidates is that, the CICE has been very effective, but the French labor costs are too high. So should any change occur to the CICE, we’re confident, it would be replaced by something else. But again, whether it is replaced by something else or not as opposed to just staying, I think, very much remains a question, because it’s turned out to be very effective and recognized to be very effective. Since it is a tax credit, it goes exactly to the intended target, which is lower-paid individuals, and that’s where they want to have that that employment growth. So we’ll see how it plays out and who gets elected on the bubble than the house, which assembly composition would allow them to drive any change. But that will be the first part to understand whether there is actually any change. And if there is, we’re sure that it will be replaced. We’re confident, it would be replaced by something else.
Manav Patnaik: Got it. Thanks a lot, guys.
Jonas Prising: So with that, we’ll have the last question.
Operator: Thank you. And the next question is coming from Mr. Tobey Sommer from SunTrust. Sir, your line now is open.
Tobey Sommer: Thank you. Could you discuss the principal drivers of demand in your solutions business, whether you think the elevated rates of growth can be sustained? And how you sell yourself against competitors? What are the competitive advantages that Manpowerhas in the solutions business? Thanks.
Jonas Prising: Thanks, Tobey. Yes. So the drivers are really based on some of the discussions we had early on in this call. So many companies are rethinking what is core and non-core to their activities. And for them, access to skilled talent is going to be extremely important today and even more important going forward with the impact of technology and their drive for increased agility and productivity. So they are looking for a company such as ManpowerGroup to provide them with workforce solutions and take over the activities that they no longer consider core. And this is an evolution that we identified early on about six or seven years ago and started to build the capabilities organically starting here in the U.S. But very quickly migrating across to Europe, and then spreading it across our emerging countries, where we have a tremendous footprint across all of the emerging markets. And that that’s an evolution that we think will continue, because the lack of visibility made slow growth environment with the degrees of the volatility means, companies will want to become more agile and able to adapt to changing circumstances and we’re experts in workforce solutions. And as it relates to our competitive differentiation, we are the world leaders, both in MSP as well as in our RPO offerings, and Proservia is one of the biggest providers of end user technology and infrastructure and last-mile delivery support. And we think all of these offerings will continue to have some very good evolution, both from a market maturity perspective, where Europe is lagging the U.S. and certainly emerging markets is well behind both Europe and the U.S. So just in terms of market maturity, we think we have growth opportunities. And then our ability and strength in terms of geographically being able to deploy these services across 80 countries means, we have tremendous scalability in geographic reach that many of our clients segments, which are larger clients primarily are very, very interested in. And, of course, added to that, the ability to do so with a centralized operating model, but at the same time with the tremendous local strength gives a lot of our customers great confidence. So we feel very good about having seen more than 11 and 12 quarters of double-digit growth in our solutions offerings, because we think that we will continue to see very good opportunities also going forward.
Tobey Sommer: Thanks to the expensive answer.
Jonas Prising: Thank you. And with that, we come to the end of our call today. And we look forward to speaking with all of you at our second quarter earnings call in three months. Thank you, everyone.
Operator: Thank you. And that conclude today’s conference call. Thank you all for joining. You may now disconnect.